Operator: Good afternoon, ladies and gentlemen. Welcome to B2Gold Corp’s Third Quarter and Year-to-date 2018 Financial Results Conference Call. I would now like to turn the call over to Mr. Clive Johnson, President and CEO. You may proceed, Mr. Johnson.
Clive Johnson: Thanks, operator. Welcome, everyone, to our conference call to discuss the third quarter 2018 results and for the reassembling to the year. We have a very strong quarter of production. The cash flow also deposit developments I'm going to pass it over to Mike Cinnamond to walk you through the highlights of the financials we've put out in the detailed news release and we've our cost of financials including for the detail MD&A or lots of information in it and we do have our investor call our Investor Day coming up November 29 in Toronto. So we'll keep quite a bit of our detailed powder dry and answer your questions in detail. There will be Q&A at the end of the session here. But some of the other things in addition to the financials over the last year which obviously it was pretty transformative year a dramatic transformative year for B2Gold with Fekola coming on but also the great performance from Masbate and continued strong performance at Otjikoto. Obviously major increase in gold production, major increase in cash from operations as we'll hear from $155 million last year to $450 million is the current estimates for this year. One of the big developments of course was the announcement, that excellent job done again by Tom and the exploration team dramatically increasing the size of the Fekola resource and being as practical as we are, we started some studies earlier this year looking at grinding studies and metallurgy and other things to say what if the fact it's a lot bigger at Fekola what would we do to extend it and when and how quickly could we do that. So we're way ahead of the game there. So as you know as the year progresses here we’ll be wrapping up by the end of the year an internal study on Fekola expansion looking at going from 5 million tons a year to 7.5 million tons a year. And just and important highlight there, I think, from when we put out the release was the fact that we've given the studies that John Rajala has been doing, the work he’s been doing we are now pretty confident that we don't need to add a 5 million to go from 5.5 to 7.5 million tons a year. So that that's very significant in the sense that we see a moderate amount of capital required modest perhaps to actually see a significant another significant expansion of Fekola. So that's going to be a real focus for us. Looking forward we're going to continue our strategy just going to continue our stint to optimize our gold production but also to continue to unlock the value of our existing assets. Obviously Fekola will be one, Fekola remains open to the north, plus targets up to the north in the Anaconda zones. Tom has been talking about some recent good hits to the West of Fekola. So lots of work to be done there but also our other assets we've got many things on the go and perhaps you get a little bit slow about Fekola but if you look at the cost of acquisition, by taking over Papillion and the cost of our exploration to date, at our new total resources here, you look at our acquisition and exploration cost for us the cost of resources running around 70 dollars an ounce. So we are not likely to jump into the game of buying ounces over the next period of time. We've got lots that we need to get value for and we'll be continuing to look at exploration initiatives ourselves and looking at joint ventures with juniors. It's highly likely that we will be playing any significant M&A game here at the end of the day we're always looking but we did the heavy lifting with Otjikoto and Fekola acquisitions and structuring and development we’re doing it. So we feel a fantastic position of what we have and assets we have. It's we're going to continue to focus on that. So with that I mentioned there'll Q&A at the end we’ve got the whole executive team here and I'll hand it over to Mike now to give you a summary of the results. The highlights of the financial results for the quarter and also third quarter also for the years. Mike?
Mike Cinnamond: Thanks Clive. Just the opening comments is to say overall that the story in the quarter is a record quarterly production with the inclusion of Fekola for the full quarter and Fekola firing at all cylinders. On our costs on a consolidated basis are right on budget our cash cost and all in sustaining. And when you think about where we the results that we've already had in the first two quarters of the year we are tracking well to come in at sort of the upper end of our production guidance for the year and at the lower end of our cash cost and all-in sustaining cost guidance so that's kind of the overall picture that we get from the quarter. Just running through some of the detailed line items in our financial results. Revenue of 324 million more than double, from the prior year quarter we sold 269,000 ounces of gold which was 27,000 more than we produced but as we produced 242,000 and then that was really from a very deliberate campaign to sell down some of the gold, the bullion that we have in inventory. So we want to control that level of volume recorded on the inventory. And also maximize cash flow for the quarter with the view that we were we knew that in October 1st that the day after the end of the quarter we were going to repay the convert so we basically picked up 27,000 ounces from over the inventory that we are able to sell in the period. Production side consolidated production 242,000 just 2000 ounces below budget and a record for the company. Of those components of that Fekola is a 107,000 ounces 2,000 ounces more than budget and Fekola is now is consistently throughput is now consistently running at 5.5 million tons or greater I think probably Bill and John Rajala to comment in that later. So we budgeted 5 million tons and so therefore during the quarter we made a decision to feed that additional throughput at the mill, we said it with the medium to low grade, some of the medium to low grade stockpile material that we have on slate. And we did for a couple of reasons one was it allowed us to preserve, the higher grade stockpile materials so that we can bring that into the production in 2019 as we originally planned. Secondly it allowed us to eliminate campaign in lower grade and different ore type through the mill, just to see how the mill performs with those different lower grade ore types and pretty pleased that it's tracking right, the recoveries are tracking right where we thought they would other than model so very encouraging and specially when we look forward to start planning for the Fekola north that potential expansion of the mill at Fekola. Otjikoto came in 42,000 ounces so right on budget, Masbate continued to outperform 58,000 ounces against the budget of 45,000 and Masbate just continued to see the benefit of that, higher oxide material from Colorado, higher grades, higher recoveries, higher throughput. So Colorado was mined out, we accelerated mining there in the quarter it was mined out by the end of August, but there is still some material from Colorado and stockpile there is so we expect to see beyond one benefit of that as we go through the fourth quarter. In Libertad and Limon they were both under budget and they struggled a little bit just to gain because of that continuing social unrest in the country and Libertad because of the unrest there and some of the issues getting supplies there and we had to suspend development of Jabili underground temporarily that was subsequent we recent had, we finished the watering in August so we now expect to see Jabili and ton of underground material coming to the production plan by later in the fourth quarter and then at Limon we incurred it some ongoing delays in getting permits for explosives and other shipments, however by the end of the quarter we were back on track there and we expect that Limon will return to sort of normal budgeted steady state in this quarter. Overall 242,000 ounces production, great result and like we said quarterly record for the company. On that cash cost, on saving costs side, personally cash cost $504 per ounce in the consolidated basis exactly on budget and they had some offsetting items in there. So firstly Fekola. Fekola was $383 an ounce $34 per ounce [indiscernible] and the first one is what I explained earlier, we had made that decision to run more materials through the mill because it was lower grade and increased the cost per ounce by approximately $10. Also we experienced higher than budgeted fuel cost, diesel and fuel were both between 13%, 18% higher than we thought when we budged. But it should be noted that that has an impact of $15 per ounce in the quarter but we also have fuel hedges in place and those fuel hedges, the gains on those, realized gains kind of were about $9 an ounce in the period, so $15 higher costs but we offset about $9 of the higher cost with the fuel hedges so, but when you take those together the overall impact from fuel is really negligible. Otjikoto $470 per ounce, $14 under budget so Otjikoto is basically ticking along as budgeted and planned. Masbate $528 an ounce so it almost $180 an ounce less than budget so it, Masbate continues to outperform through the year it had a great year, last year, it had a great year this year and its really most of that is driven by the higher production, the higher ounces that we're seeing there but they also manage to actually the way they were running the fleet they managed to reduce some of the lower some of the mining costs on site, and all of that flowed in and benefited the cash cost in the period. Libertad and Limon were both higher on that cash cost slice for the, as a result of lower production that I explained earlier. And then when you look at all in sustaining cost, $749 per ounce just $5 less than budget so pretty much tracking right on budget and again there's some offsetting items in there but basically mirrors what we saw in the cash cost side, with Masbate being the standout outperformer of the operating mines. So very positive on the production side on the cost side for the period, and what, we've actually reguided on a couple of metrics firstly on the production side reguided Fekola it was 400,000 to 410,000 ounces we now guided between 420,000 and 430,000. And also Masbate through this outperforming we guided that up another 20,000 ounces so now it's between 200,000 to 210,000 ounces. On the downside we guided Libertad downwards to between 90,000 and 95,000 ounces. So overall consolidated guidance brings us up by 10,000 ounces it's now 920,000 to 960,000 and as I mentioned at the start, we expect to track towards the upper end of that production guidance based on where we are now. And then to mirror some of the production and the cost performance that we seen through the end of Q2, we also reguided on the cash cost and all in sustaining cost side. So Masbate, we reguided downwards for Masbate cause it’s outperformed so well during the period and for the Nicaraguan operations we've guided those up on both cash cost and all in sustaining cost because of the lower production that we've seen. Overall we did not change the overall consolidated guidance range, but still $505 to $550 an ounce for cash costs and $780 to $830 all in sustaining cost. Again as I mentioned we expect that we're going to come in at the lower end of those cost guidance ranges for the year. Couple other items maybe to mention in the results. On the earnings side really main thing I want highlight is on the taxes. So if you look at the income before taxes and you look at the current tax charges it's a relatively high percentage and just wanted to remind everyone a couple things. The reason it looks relatively high is because there're we're taxable all across the groups now the tax holiday in Masbate is finished. Fekola doesn't have any significant accelerated losses claiming upfront it basically becomes taxable right out of the gate. And there's also a bunch of corporate costs and unrecognized costs and there’s so purchase price adjustments, stock base comp type adjustments that don't flow into the overall tax charge if you look down through the tax number and look at what the actual taxable income is at each of the sites our effective tax rate approximately 15%,which is actually on the low end. So I just wanted if people -- if analysts want more detail that we did play out some more detail in the MD&A explaining how to get those effective tax rates. The other thing I'd highlight for the folks on the phone just for the models is that in the first year of operation Fekola it's taxable way through and we’re recurring those taxes through the quarter but because there was no taxable income last year that the installments are very low taxable income last year for Fekola, the installments we’re paying in cash in 2018 are relatively low and you'll see a big cash payment when we double this year's taxes in Q1 and Q2 next year. So just for the analyst just remember that your modeling the game we put some detail in the MD&A for you. Overall earnings $60 million or $0.01 per share but if you look at adjusted net income it was $0.05 per share and it's $0.15 per share overall year-to-date. Just like couple things on the cash flow side, so cash flow from operating activities $143 million and $376 million year to date. So we have indicated in the MD&A we think we assume a $1200 gold price for Q4. We think we're going to come out somewhere around $450 million for operating cash flows for the year. On the financing side you'll see in the period we drew down an extra $200 million on the revolving credit facility. We'd already repaid a significant amount of the revolver earlier in the year. So we drew down some more with the view that we were going to use it and we did use it to help us repay the convertible notes what we repaid on October 1st, 258 million. Big picture for debt. If you look at total debt at the start of the year it was approximately $700 million and we expect to finish the year with somewhere around $500 million total so a repayment overall in the period, significant repayment of $200 million. On the investing side, $52 million across our operations including exploration pretty much on budget the only budget where we're under budget on the CapEx side is at Libertad. And that's mainly because of just the delay in getting into Jabali Antena. With that lower return Jabili Antena open pit was expected to come into the mine plan originally this later and then little later next year so we have been successful in getting mine permits in Nicaragua, we've got a fair amount in San Diego already, we're operating from those pits and we are making progress from Jabali Antena open pit without permit and we now expect that we will see that coming from the mine plan in the second half or basically after the first half of start of second half of 2019. Stepping back overall for the period, we finished the period with $355 million in cash but the next day October 1st we repaid the convert as planned and as part of our original strategy to fund the whole without using equity, so we used debt and operating cash flow and prepaid sales to do it, so October 1st we used 258 million of that $355 million to repay the convert and now as we move forward we will continue to focus on this excess cash flow to just pay down on the line on the revolver, the revolver we currently drawn 400 million it's a 500 million full facility so there's a 100 million capacity there for us there's another 100 million accordion. We don’t see the need for it right now but there is a 100 million accordion feature available we just figure that. So I think that's the sort of high level financial results that I was going to get into. I don’t know if you, you want to open it up for questions now Clive.
Clive Johnson: No I think just a couple of comments first and few things to add to my opening remarks, I talked about Fekola to finish off the plan there going forward I mentioned the internal study by the end of the year looking at expansion. The first quarter next year we'll be doing optimization on the mine plan, over the first quarter to find out most efficient effect of that have that changes from the account point way to mine the, call it the expansions as well. That will involve some infill drilling. There was a larger percentage of resource to new resource was larger than that anticipated in the category and that was the, that will continue to grow and we expect with the success to program and the infill drilling starting in January that should turn this resources into reserves as we expect. That was the part of the plan for 2019 so by the end of the quarter we'll be ready to come up, first quarter 2019 we'll be ready to come up with a report and we will be able to talk in detail about the expansion product pretty excited about that Fekola showing to be the beast that we always thought it could be, once again we stuck with our disciplined acquisitions where we don’t pay we will not pay for anything that needs significant exploration success and or has gold price adjusted by the purchase price and clearly at $70 an ounce number the acquisition of Fekola looks like a great deal. It was accretive with the initial reserves 3.4 million ounces that we saw and obviously with this expectation of success it's a great project. As we are looking at the kind of projects that I think according to Barrick and others that everyone is looking for. Just a couple of comments perhaps on we've seen some M&A activity and course the big one being Barrick and Randgold. I do think there is positive follow-up from that for us in a couple of ways obviously the Randgold shares are going to disappear with the expected vote today from the Randgold shareholders so we are starting to make substitutions so we're little overweight on the Barrick side and there is an opportunity that Randgold has been very successful company over the last 10 years or so and interesting not to celebrate some of that disciplines where we have about acquisitions and not chasing things and not over paying for things. So it'd be interesting to see if there are other, talk with potential opportunities in West Africa we are obviously looking at everything, given the fact that there's so many companies out there that need growth much more than we do, because of our focus on continued growth during the last number of years, it's frankly pretty unlikely we're going to go out there and outbid people for ounces in the ground, because I think there's others than need growth more and we have all this exceptional opportunity with Fekola and other things we’re looking forward, so I think there's a real opportunity. And also what's interesting the deal looks very interesting in many ways that Barrick-Randgold deal. One is the fact that it's a premium deal. So I think that that’s a new standard graph for the big guys. And for those of us with this company our management and our directors and many of our shareholders who want to continue to see us do what we do, I don't think there's going to be any large global companies looking to take a run at someone like B2Gold, I think at the end of the day with big premiums now that there's been an opening new deal for Randgold, I don't see big companies stepping up a bit premium. So in my opinion it need to offer a big premium if you are just looking to B2Gold, because a lot of our shareholders really want to keep us doing what we do well, which is continuing to grow this company as we have so well over the last 10 years or so. So when you look at the world of M&A, I am sure there'll be quite a bit more M&A and then maybe you'll see some of the -- some companies gain together. But I think the days of big premiums are probably over, because those deals were not great, a lot of them in the last 10 years, because a lot of them were heavily just took it and criticize for people perhaps overpaying for things were not getting it right. So with that, I think we will open up for questions.
Operator: [Operator Instructions] Your first question comes from Michael Gray with Macquarie. Your line is open.
Michael Gray: First off, the campaign of the limited medium to low grade at Fekola. Any chance you could give us a breakdown of that feed and whether you're going to maintain that blend going forward? And whether you think you can maintain the recoveries in that 94%, 95% range?
John Rajala: Mike, the campaign of lower grade during third quarter. We were able to achieve recoveries similar to what we have been year-to-date prior to that 94% to 95%. And then we've had another campaign in early October, I think we mentioned it in the press release on the resource. That averaged 1.1 gram per ton and we were just about 93% recovery, that’s over a five day period for that material and that was above model. So we were very pleased with that.
Clive Johnson: I forgot to mention, the ore in the extension to the north we've done here…
John Rajala: Yes, we completed all the metallurgical testing on Fekola north, the results are very similar to what we saw in the Fekola feasibility study. So, we're expecting very similar metallurgical performance once that material begins to be brought to the mill in the future.
Michael Gray: And Tom, if you're there, it's been a little bit quiet on the Twiga front for news. But it looks like you're going to be putting news out before the end of the year. Can you give us a bit of color on the scope of draw links that will be released for that before the year end?
Tom Garagan: Yes, you'll note we'll have a lot of Twiga material. We'll have some Twiga drill hole results and look at I guess at the meeting in Toronto. But no, I can't add any color to it. It remains open down plunge and there's up down plunge before the grade picks up.
Michael Gray: So we'll get more color at the Analyst Day. And then, Mike Cinnamond, just on the -- reversing the impairments on the Nicaragua assets. Any reason why to do that now as opposed to the year end?
Mike Cinnamond: Well, the main reason is we updated our mine plans in Q3 as we normally do and GAAP required that if you have a change that you consider whether that change indicates that either there is an impairment reversal or there is an impairment. And so we did that across all of our operations in place, because we get new mine plans for all of them. And the biggest factor there was that new Central deposit and that being built into essential impact of that and then the upside of that being built into a mine plant. That was a trigger and an indicator that we had to consider, but the GAAP requirement to do it when that information is available.
Operator: Your next question comes from Lawson Winder with Bank of America Merrill Lynch. Your line is open.
Lawson Winder: Just on Fekola on the new M&A -- there is an indicated estimate that you guys published last week or two weeks ago, I guess might have been. Just on the costs. So I noticed that both the processing cost and the mining cost per ton mine came down quite a bit versus the year end 2017 estimate. In particular, I'd be curious as to what's driving the lower mining cost per ton. So I think -- so it's $2 per ton now. And I think it was quite a bit high before like 2.60 or 2.70 prior to that. Thanks.
BillLytle: So on the mining side certainly if you remember in the feasibility, we took the advice of a lot of people working in the area is what the best guess was going to be. And so, I think everybody felt that that number was high. And of course operations today have borne that out, but it is high. As you know, we've been running at less than $1.50. So we felt that $2 was a reasonable number and conservative. And then on the milling side, I think we're actually very close to where we were in the feasibility study. So, we’re confident with that number as well.
Lawson Winder: And then just in terms of over the entire mine life, is there a distribution of where those lower costs are coming. So have you, for example, just lowered the cost expected in the earlier part of the mine plan and kept them the same in the later part? Or is it just across the board and you expected to be lower mining cost straight through for the entire life of mine?
BillLytle: Well, I mean certainly, we'll see the costs come up as we go deeper and get into harder ore. But we don't expect them to see to come up than to come up with $2.70 range. So, we just made our best guess that it was two bucks.
Lawson Winder: And then just what was the mining cost per ton in Q3?
BillLytle: In Q3, we were at -- well, it looks to me like we were at -- I am going just look it up here. Current up here for September we were at -- at actual we were at $1.35 and then for Q3, we were at $1.51.
Lawson Winder: And then just one more from me sticking with the cost theme here on for Fekola. So just given your guidance, if you just back out what the guidance and the nine months result implies for Q4 at Fekola cost? And especially as you adjust for the $34 per ounce above budget Q3 result, I mean, it's looking like you're calling for a pretty material increase in Q4 '18 cost per ounce -- COC, cash operating cost, per ounce. I'm just curious, is it driven by great, are there more steady if you're planning to put more low grade through it? Or are you seeing something that's going to fundamentally drive cost per ton up? Thanks.
BillLytle: The answer is no. I don’t think so. But certainly, we're going to see the ops profile in Q4 we expect to be higher. Remember we limited the ounces in Q3 that coupled with a couple of things which went on. We did a big realign or two realigns in Q3, which we won't see in Q4. So we won't see those cost hit the book. We don’t see our cost growing up in Q4.
Clive Johnson: And just on that as well, we did indicate in the MD&A. We expect to see Fekola coming for cash cost right at the low end of the guidance range we've given for the year and for all-ins right at the low end or even below low end of that range. So that's what we've laid that out in the MD&A.
BillLytle: I think it's really important, we tried to emphasize but obviously not clearly enough. So the fact of the matter is in the third quarter, we put through more tons than we've anticipated through the mill, which is very positive. We chose to use some lower -- middle or lower grade material to do that. So we weren’t going to rob next year's production. We were going to have those even though as we kept production year-over-year. So this isn't a negative. It's a positive. The cost per ounce is slightly higher, because we put few more tons as anticipated to produce more gold. So let's keep this in perspective. And if you want more detail on that, we want to put you on a separate call with the guys here and they can explain it to you even further.
Operator: Your next question comes from Chris Thompson with PI Financial. Your line is open.
Chris Thompson: Just a quick question I guess on Masbate. Obviously, focus being on the plant expansion. What ramp-ups should we be modeling for that?
Dennis Stansbury: We're closing in on finishing up that project. We are looking at commissioning and ramping that thing up in January, so very short ramp-up. The original schedule was April. So we're actually getting online ahead of schedule by about three months. So that's very favorable; it's the same crews; it's the same maintenance crews; same operators and stuff since it is an expansion; the stuff like a typically new ramp-up where you're doing a lot of extra training and things like that. So we expect it to come up the very, very quickly. We think we can be pushing those rates near the end of January.
Clive Johnson: Just budgeting 8 million tons per annum next year.
Chris Thompson: Just looking I guess at quarter, obviously, exceptional perform from Masbate for the year so far. It looks like you're effectively tracking ahead the guidance and below cost. And that would imply I would imagine a weak fourth quarter. I'm just trying to get a sense, I guess, of whether that's the case, because you still have some Colorado ore that you plan to put through the mill in the fourth quarter?
BillLytle: That’s not the case at all. We know we're going to finish the year off strong. Through October, we could take one ball mill down total of 15 days, replace them in, replace [indiscernible], work as planned. Even with that, we continued on strike for budget. So we anticipate continuing through to a strong year end. We have -- because of the acceleration in Colorado, we have a certain amount of oxide on the pad ready to go, we're mining directly out of main vein that 3 and 4. All cylinders are running. And we expect a strong finish for the year. For the fourth quarter, in particular, pretty much on budget or better than budget.
Chris Thompson: And just finally just a quick comment on Otjikoto, we're still anticipating I guess Wolfshag coming towards the end of next year. Is that right?
BillLytle: Yes, we do have Wolfshag in next year but we are currently looking at the mine plan and perhaps we'll stay in Otjikoto. That’s still under budgetary review right now.
Operator: Your next question comes from Richard Deutsch with National Securities. Your line is open.
Q - Richard Deutsch: Thank you for doing job of beating expectations, which is rare to find a lot around here. I have a question about your gold delivery obligations under one of your previous financings. I believe that expires sometime in 2019 or early 2020. Upon the delivery of the final obligations, how does that affect your reported numbers on sales cash flow, if at all? I just wondered if there was any effect from closing out that debt.
Clive Johnson: You got to get a new phone. I think I barely heard that. Mike, did you hear that?
Mike Cinnamond: Well, I think I heard some of it. Certainly, on the previous financing, we have some maybe in dollar denominated go-forwards, approximately 8,000 or 9,000 ounces from an old revolving credit facility financing we did a long time ago. Those final ounces will be delivered into in this quarter. So, they'll be gone, they'll be extinguished. And then the other financing we had where we got obligations to deliver ounces were on the prepaid sales. And as at the end of September with $45 million worth of outstanding contracts on those sales with delivery of just over 38,000 ounces, we expect about 13 of those to be delivered in Q4 with the balance in the first half of 2019. So I'm not -- I couldn't hear your whole question. But hopefully, that answers it at least in part.
Q - Richard Deutsch: Yes. So the prepaid sales obligation will be completed by the middle of next year. Is that what you're saying?
Mike Cinnamond: That's right, that's correct.
Q - Richard Deutsch: And then as opposed to extinguishing debt, it's just adds to your cash flow at that particular point. So, there is no real net effect beyond what we're already seeing?
Mike Cinnamond: That's correct. The funds from the prepaid sales were previously received on a cash flow basis. So now, when we deliver into it, there's no new cash flows related to those ounces. So once we stop delivering into them, you'll see all the ounces that are produced and sold in the periods you'll see the cash flow benefit of those in that period.
Operator: Your next question comes from Geordie Mark with Haywood Securities. Your line is open.
Geordie Mark: Much of questions have already been asked, maybe just following on with Fekola, the central theme it seems. Nice resource update with that expansion plan. Just wondering, I mean what about the exactitude of the final outcome of the plant and mine study. How long, once you have an idea in mind, what to do with 7.5 million tons per annum plant? How long would that take to come into fruition ultimately do you think?
Clive Johnson: Well, we haven't got into that level of detail yet. We got to figure out what we need to order first of all of course you got to figure out. We don't need to have a ball mill but we need new -- upgrade the motors, the capacity of the motors and things like that. So it's really, we're not going to guess at a capital cost right now. And similarly, we're not going to get to the schedule right now. So we'll have a much better idea of that by the end of the year in terms of that. Correct John?
John Rajala: Yes, that’s very close…
Clive Johnson: Yes, the internal view and then in the first quarter next year, we'll do all the optimization that come up with the final study.
Geordie Mark: You’re saying ultimately in Q3 despite running around 5.57 million ton per annum right through the mill you had a couple of realigning there. I mean, where should we look -- if we're looking in the future in terms of an average run rate for the plants in the absence of the expansion. Should we look at 5.5 or is the range between 5.5 and 6?
Clive Johnson: Right now, we're budgeting 5.5 for next year. Clearly, I think it's -- and everyone can obviously see that it can do more. But right now, we are budgeting at 5.5 million tons per annum until we get these studies and get all this information together.
Geordie Mark: And perhaps moving a little bit to the north for exploration. You starting focusing on I guess some of the higher averaging, sort of Fekola star gold targets through the quarter with an AC and an RC rig. Was that on one target or multiple targets? And then do you expect the rig count to increase in that area this quarter, or what should we expect.
Tom Garagan: I think we're pretty much -- I don't want to say blown our budget, because it doesn’t sound right when we spend most of our budgets on the infield. So with the remaining of the -- the remaining part of the year, we’ll have air core running, but we'll have one and two rigs working on a little bit on the new discovery, as Clive mentioned, the west of Fekola called Cardinal and we’ll get up in the Anaconda area also. And we wanted two holes maybe in the north of the Fekola testing some ideas. We will start infill drilling and budgeting up infill drilling from next year, and little bit of a chicken and egg. We want to see where the pit is going to go, the reserve pits going to go before we detail out the infill drill program.
Clive Johnson: I think we're expecting a significant project. Obviously, infill is what it is with a great success with that and I would expect that continue starting in January. But also, Tom, we’re expecting -- we haven't done our budgets yet, but I am fully expecting Tom to come up with a super budget justifiably to go and drill Anaconda in that area to see what's underneath the saprolite. I think it's worth mentioning that we are, I think, you said somewhere and I am not sure we'd give it out. But we are looking at the Anaconda area now. I am looking at the saprolite and saying exactly that that cannot the standalone on/off leach pad, something like that. We do have potential to produce 80,000 or 100,000 ounces a year for some years as a standalone there. That obviously gets add to our overall production profile. So that’s another thing we’re -- that tend to work, so we haven’t look at doing test work to look at that as well. But you can expect a lot of drilling next year. As Tom said, the prior addition was a new resource, great success but also we've got some new pretty exciting early stage results to the west and of course it's open to the north and we'll be doing a lot of drilling on the Anaconda area looking forward in extra Fekola out there as well.
Operator: And there are no further questions queued up at this time. I’ll turn the call back over to Clive Johnson.
Clive Johnson: Okay, well thanks a lot for your questions. And as you mentioned, we're having an Investor Day -- maybe it should be two days in late November given some of the details that were being pressed to begin, which is fine. We appreciate the interest. So thank you all for getting in on the call and we look forward to hopefully seeing as many of you as possible in the late November for an really good update on everything we are doing. So thanks everyone.
Operator: This concludes today’s conference call. You may now disconnect.